Operator: Greetings, and welcome to the Maximus, Inc. Fiscal 2025 Second Quarter Conference Call. At this time, participants are in a listen-only mode. A brief question and answer session will follow the formal presentation. As a reminder, this conference is being recorded. It is now my pleasure to introduce your host, Jessica Batt, Vice President of Investor Relations for Maximus, Inc. Thank you, Ms. Batt. You may begin.
Jessica Batt: Good morning, and thanks for joining us. With me today is Bruce L. Caswell, President and CEO, David Mutryn, CFO, and James Francis, Vice President of Investor Relations. I'd like to remind everyone that a number of statements being made today will be forward-looking in nature. Please remember that such statements are only predictions. Actual events and results may differ materially as a result of risks we face, including those discussed in Item 1A of our most recent Forms 10-Q and 10-Ks. I encourage you to review the information contained in our recent filings with the SEC and our earnings press release. The company does not assume any obligation to revise or update these forward-looking statements to reflect subsequent events or circumstances except as required by law. Today's presentation also contains non-GAAP financial information. Management uses this information internally to analyze results and believes it may be informative to investors in identifying trends, gauging the quality of our financial performance, and providing meaningful period-to-period comparisons. For a reconciliation of the non-GAAP measures presented, please see the company's most recent Forms 10-Q and 10-Ks. And with that, I'll hand the call over to Bruce.
Bruce L. Caswell: Thanks, Jessica, and good morning. As we enter the back half of the fiscal year, I'm pleased to report solid results representing another strong quarter. While David will get into greater detail in a few moments, I'm proud to share that we reported revenue of $1.36 billion in the quarter, representing a solid 3% organic growth year over year. Adjusted EBITDA margin was 13.7% in Q2, and is in the upper end of our near-term guidance range, showing we are delivering on an earlier commitment. We believe these results reflect the strength and resilience of our business, our role as a partner to government in delivering complex programs efficiently at scale, and our earned reputation for technology innovation in government services. Before diving into an update on the business, I want to address the macro environment in which we are operating. As you know, the Department of Government Efficiency, or DOGE, operates within the executive office of the president, working closely with the Office of Management and Budget, or OMB. The DOGE began its work shortly after the inauguration and continues its efforts to streamline government, reflecting the administration's priorities. In February, when the DOGE was beginning their work, we noted that we share the administration's goal of modernizing programs through technology standardization and performance-based contracting to deliver high-quality services in an accountable manner. While our sector continues to operate as expected in an environment of some uncertainty, we believe this also presents an important opportunity to showcase our ideas on more effective models for the delivery of critical citizen services. Our teams are well prepared for this moment, as the DOGE objectives align with many of our recent Maximus Forward initiatives, of which I've spoken on prior calls. Under our Maximus Forward transformation, we questioned traditional structures and processes, sought to apply technology and innovation to drive more efficient operations, and focused on customer satisfaction. Further, we've emphasized employee engagement and enabled critical reinvestment in the business. In the context of applying a similar mindset to the work we do on behalf of our customers, let me share two recent examples of which I'm especially proud. First, on our federal No Surprises Act contract, where we provide arbitration services to resolve out-of-network payment disputes between insurance providers and care facilities, we recently implemented an AI solution that is designed to streamline the independent dispute resolution process. This greatly enhanced process efficiency, cutting down on manual effort and boosting throughput. This automation helped clear a backlog of disputes, ensured SLA targets were met, reduced temporary labor costs, provided more meaningful work for our employees, and supported significant growth in project volumes. Secondly, working with the Department of Veterans Affairs, or VA, we've invested significantly to accelerate case preparation on our MDE contract. In the past, organizing and categorizing the information in medical records was a labor-intensive and highly repetitive process, with case files averaging between 5,500 pages. Given the importance of this program to the VA and our commitment to provide timely service to our nation's veterans, there was an urgent need for investment in automation. By leveraging tools such as AWS, GovCloud, and Amazon Textract, Maximus developed a proprietary AI and machine learning-powered records processing system. Since implementation, we have reduced the time required for manual case preparation, enabling us to take on greater volumes in the wake of the PACT Act. This solution has also enabled us to shift labor to higher-value work, such as quality assurance, contributing to the VA's objective of faster claim resolution for our deserving veterans. Innovation like this requires program and operational knowledge, gained through years of delivery, coupled with industry-leading technical acumen and meaningful investment. These are hallmarks of our business model and are best realized when we are aligned with our customers on a common mission objective, in this case, providing the best service possible for those who served our nation. The implementation of new innovative solutions for these two federal customers are two positive examples of the ways in which we are collaborating and executing on shared priorities. We believe these also serve as solid proof points that our investments in AI and our people are paying off. We are working closely to support our customers and DOGE representatives to address questions on certain contracts and program operations. In some cases, it has led to further discussions about opportunities for efficiencies, consolidation, and innovation. We will continue to be responsive to questions from the administration as they arise and welcome opportunities to demonstrate how our work delivers value for American taxpayers in support of over 100 million citizens in critical program areas like veterans benefits, student loan servicing, and Medicare. The impact of DOGE decisions on the business to date has been limited to a handful of small contracts where budget or scope has now been modified, some of which were already scheduled to end this fiscal year. More specifically, to date, these actions are estimated to total about $4 million in FY 2025 revenue, a de minimis figure on our base of $5 billion plus of revenue. That said, the environment in which we are operating continues to evolve, and we are maintaining a balanced stance of both supporting our customers in response to inquiries as well as leaning into opportunities to shape the future of certain programs. As an example, like others in our sector, we have fielded requests for pricing concessions on certain contracts, which leads to a process of mutual negotiation in due course. We recognize that this is an ongoing process, which may lead to further requests and reflects the systematic review of government spending that has been a communicated priority of the administration. As a result, as David will discuss further, we maintain a more cautious view of the second half of this fiscal year, consistent with our standpoint when we provided guidance earlier. Our objective remains to demonstrate how our work delivers value and accountability for American taxpayers. Another proof point of our alignment with the administration is at the state level. Recently, guidance was issued to reaffirm states' authority to use private sector partners that meet merit system principles. This framework, administered by the Office of Personnel Management, or OPM, is fundamental to the agency's mandate to ensure transparency, fairness, and merit-based management of employees across the public and private sectors. The challenge for states is that managing growing complex populations often exceeds the realistic constraints of the government workforce, leading to reduced service quality and a poor citizen experience. For many states, scaling up a permanent workforce is neither a practical nor cost-effective solution. Maximus was the first organization in our sector to certify that its systems of personnel management meet the high standards government demands of its own workforce, fully complying with government merit system principles. We refer to the federal guidance as flexibility to contract because, from the state customer perspective, they can choose what's in their interest, ideally balancing their workforce to perform inherently governmental functions while partnering with private sector providers like Maximus. With the anticipated demand for services likely increasing in the near future, as states contemplate possible changes to Medicaid and other benefit programs, there's no better time to have this flexibility. We believe our track record in this area is unmatched. During the pandemic, flexibility to contract guidance was attached to emergency pandemic response bills, which enabled the private sector to support states in processing claims for unemployment insurance benefits. Maximus became the leading provider of these services. With flexibility to contract reactivated, we are once again supporting our state customers as they examine the benefits of a hybrid public-private model. Last quarter, I discussed the early developments in the area of Medicaid, specifically potential changes to reduce the level of federal Medicaid spending. As we stand here today, three months later, there's been little actionable movement in this area, but the contours of possible legislative changes are emerging. While it's too early to speculate on what may make its way into a final bill, interest remains high in areas that include program integrity and work requirements. As discussed in February, changes that require customer engagement, such as verifying eligibility, typically increase our activity volume, which is our primary contracting model for state Medicaid programs. Therefore, a reduction in Medicaid recipients may not necessarily decrease consumer engagement, especially if eligibility verification or activity reporting requirements become more frequent than today. Additionally, in many of our largest states, we also manage state-based exchanges where customers can enroll if they are no longer eligible for Medicaid. This helps maintain our ongoing engagement with those consumers. Now let me turn to the business, beginning with the federal segment. I'm pleased to report that the strategic intent of the 2021 acquisition of Veterans Valuation Services, or VES, is manifesting beyond our primary goal of becoming a valued partner to the VA. The synergies in our pipeline, meaning opportunities that neither legacy company could successfully win, are coming to bid in the near future. As a combined entity with a period of proven success behind us, we believe we have the qualifications and credibility to be a serious competitor on new programs. Combined with the solid deep customer relationships we've built over time, we're optimistic in our ability to drive scale on new performance and volume-based contracts now in the capture phase. Within the U.S. Services segment, our Clinical Assessments business and programs are particularly strong and continue to see solid growth. We've secured a number of new and rebid contracts in the fiscal year, which are proof points of a growing clinical services pipeline and our continued delivery on the strategic pillar we've referred to as the future of health. Two recent awards in the clinical space include the following: First, in the state of Kansas, we recently secured new work with the Department for Aging and Disability Services to operate the statewide home and community-based services, or HCBS, assessment organization. Our team of clinicians will conduct health assessments to support Kansas' goals for integrated solutions that promote the well-being of people with physical disabilities, frail elderly, and brain injury HCBS waiver programs, as well as the programs of All-Inclusive Care for the Elderly, known as PACE. Maximus will collaborate with community agencies and organizations to improve access to long-term services and supports. We believe this win, with an estimated total contract value, or TCV, of $40 million over a five-and-a-half-year period, is a solid example of our expertise and growing reputation in state clinical assessments. Second, in the state of California, we recently secured the rebid of our independent medical review program, valued at $150 million TCV over a three-year base period. This project showcases our partnership with states, in this case, between California and Maximus, where we conduct independent medical reviews related to disputes between physicians and claims administrators about necessary medical treatment for injured workers. New assessment programs have kicked off in three additional states, all of which contribute to the bottom line this fiscal year. We continue to invest in the growth and optimization of the Clinical Assessments business through new technology and capabilities, reaffirming our commitment to the future of health strategic pillar. I would now like to share our pipeline and the trends we're seeing in federal procurement. As has been the case for some time now, we are seeing delays in federal procurement processes, mostly in civilian agencies, resulting in new awards pushing to the right. For incumbents, a potential silver lining to these delays are the unexpected bridge or extension contracts on current programs. In one such instance, we were recently granted a $189 million bridge contract on a program for an eighteen-month period. Consistent with the administration's focus on innovation through performance-based contracting that leverages commercial solutions, our teams are shaping tomorrow's opportunities. We call this shifting left, and our pipeline is building with opportunities to which we believe our capabilities are well positioned. Proposals in prep and proposals submitted in aggregate are 25% higher than last quarter, which demonstrates many government customers moving forward with procurements. We are optimistic that given the recent prioritization of federal procurement reform, the procurement process is anticipated to improve. Now let me share some of our more common data points for awards reporting and the pipeline. Through the second quarter of fiscal year 2025, signed awards totaled $2.9 billion of total contract value. Further, at March 31, there were $451 million worth of contracts that have been awarded but not yet signed. These awards translate into a book-to-bill of approximately 0.8 times using our standard reporting for the trailing twelve-month period. This represents a step up from our book-to-bill at September 30, and tracks to our expectations for an improved metric in this fiscal year. As we've mentioned on prior calls, the lower book-to-bill is largely due to the lower than normal period of rebid activity we experienced in fiscal year 2024. With many of our larger rebids behind us and well secured, we expect to continue seeing a positive trend in this metric. Our total pipeline of sales opportunities at March 31 was $41.2 billion compared to $41.4 billion reported at December 31. The current pipeline is comprised of approximately $2 billion in proposals pending, $3 billion in proposals in preparation, and $36.3 billion in opportunities we are tracking. Of our current pipeline, approximately 55% represents new work. Additionally, 60% of the $41.2 billion total pipeline is attributable to our U.S. Federal Services segment. In closing, we're proud to share that Maximus has once again been recognized by Fortune as one of America's most innovative companies, a distinction that places us among the top 300 companies nationwide known for shaping the future through product excellence, operational innovation, and a strong internal culture of creativity. This recognition acknowledges our track record in deploying AI, robotic process automation, and advanced analytics to help government agencies deliver faster, more efficient services to the people who need them most. And with that, I'll turn the call over to David.
David Mutryn: Thanks, Bruce, and good morning. We're pleased to report second-quarter results that exceeded our expectations thanks to outstanding execution and ongoing demand for our services. This is driving the second consecutive raise to our fiscal 2025 revenue and earnings guidance. We view the business as being in a healthy state resulting from our demonstrated ability to deliver critical citizen services in a high-quality manner. Looking ahead, we believe our pipeline of opportunities remains healthy, and as Bruce noted, have seen an uptick in our business proposals volume as we pursue those opportunities to fuel our growth in the years to come. Let me take you through quarterly results, where Maximus reported revenue of $1.36 billion for the second quarter of fiscal year 2025, representing 1% year-over-year growth or 3% on an organic basis. The U.S. Federal Services segment was the primary driver of growth in the quarter, which offset the expected normalization of revenue in the U.S. Services segment following last year's overperformance from the Medicaid unwinding effort. The Outside The U.S. segment also posted solid mid-single-digit organic growth. Adjusted EBITDA margin was 13.7%, and adjusted EPS was $2.10 for the quarter, compared to 11.7% and $1.57 respectively, for the prior year period. Turning to results for the U.S. Federal Services segment, revenue increased 10.9% to $778 million, which was all organic. Similar to last quarter, revenue growth stemmed from multiple areas throughout the segment, including clinical assessments, which were particularly strong this quarter across several contracts. The operating income margin for the segment in the second quarter was 15.3% as compared to 11.9% in the prior year period. The strong margins resulted from operational efficiencies, coupled with the opportunity to process extra volumes to meet higher assessment demand. The outsized volumes in certain smaller clinical programs helped to bolster this quarter's margin and are expected to continue but not to this extent. For the U.S. Services segment, revenue decreased as expected to $442 million as compared to the prior year period revenue of $486 million. The change in revenue reflects the prior year period's outsized growth from excess volumes tied to the now-completed Medicaid unwinding exercise. The segment's operating income margin for the second quarter was 12.2% and compares to 14% for the prior year period resulting from the excess volume. This quarter's margin demonstrated the sequential margin improvement over the first quarter that we had anticipated, with the full-year outlook for the segment remaining unchanged. Turning to the Outside The U.S. Segment, revenue decreased as anticipated to $142 million for the quarter, driven by previously divested businesses that were present in the prior year period. Meanwhile, organic growth was 4.6%, thanks to the healthier components of the segment that remain. The segment's operating income margin this quarter was 3.4%, and compares to 0.4% in the prior year period. We have a continued goal to improve the profitability profile of this segment. This does not rule out further reshaping action, but we do not presently see any significant area of the segment that is performing below our expectation. Turning to cash flow items, cash provided by operating activity was $43 million and free cash flow was $26 million for the second quarter of fiscal 2025. The lighter cash flow stemmed from a period of lighter collections, which we believe to be temporary. This is reflected in a higher days sales outstanding, or DSO, which were seventy-three days for this quarter, compared to DSO of sixty-two days for the prior quarter. The primary driver of the higher DSO is one of our large state-based programs that has administrative delays tied to a pending extension of our work. This one item was worth seven days of DSO alone. We anticipate this extension will be finalized and executed this fiscal year, which would catch up the delayed collection and benefit cash flows in the fourth quarter of the fiscal year. The remaining few days increase is across the portfolio and not tied to any one customer set. Two international government customers have been responsible for a slight increase as well as one or two agencies on the U.S. federal side of the business, where we are seeing pockets of delays given the dynamic environment. Over the course of this recently completed quarter and in the near term ahead, we continue to take a disciplined approach to capital allocation. While we have not witnessed widespread payment disruption, we do recognize the potential for broader delays and have planned accordingly. Additionally, we keep our interests focused on potential opportunities on the M&A front. For example, we may be interested in a tuck-in type deal, especially if the valuation were attractive in the present environment. Let me turn to our share repurchase activity, which totaled approximately 947,000 shares for $73 million during the second quarter. This includes the 700,000 shares in January that we announced on the previous call. We have approximately $66 million remaining under the current $200 million board of directors authorization and will remain opportunistic in our approach to repurchasing additional shares in the future. We ended the second quarter with total debt of $1.51 billion, which yields a net total leverage ratio of 1.9 times this quarter, and below our stated target range of two to three times. As a reminder, this ratio is our debt net of allowed cash to consolidated EBITDA for the last twelve months, as calculated in accordance with our credit agreement. I'll finish by covering our second consecutive raise to fiscal year 2025 guidance. Our intent with the new revenue and earnings guidance is to reflect the overperformance in Q2 and effectively maintain prior guidance for Q3 and Q4. As Bruce expressed, we continue to take a cautious approach given the dynamic environment, particularly in the U.S. Federal segment. For revenue, our guidance increases by $50 million to yield a range of $5.25 billion to $5.4 billion. Our implied full-year organic growth rate now stands at about 2% over the prior year. Our full-year adjusted EBITDA margin guidance for fiscal year 2025 is now 11.7%, which is 50 basis points up from the previous guidance. Our adjusted EPS guidance increases by $0.40 to range between $6.30 and $6.60 per share. The $0.40 represents the overperformance relative to our forecast for Q2. We are maintaining our free cash flow guidance of $355 to $385 million, which reflects a slightly higher DSO assumption at year-end. We currently anticipate DSO peaking next quarter and then expect a normalization in our fourth quarter when, as I said, we expect the state extension to be finalized and collections catching up. At this stage of the year, our projections are based on existing contracts. Said differently, we are not dependent on new work to deliver on this year's guidance. Let me add some color on segment margin assumptions. The U.S. Federal segment is now forecasted to deliver between 12.5% and 13% on a full-year basis, meaning the back half of the year is expected to be between 11% and 12% and reflect a more typical operating profile following an exceptionally strong first half of the fiscal year. Both the U.S. Services segment and Outside The U.S. Segment expectations are unchanged at 11% and between 3% and 5%, respectively, for the full year. We expect interest income of approximately $78 million and our full-year tax rate expectation of between 28% and 29% is unchanged. As a reminder, the higher tax rate on a full-year basis is tied to the divestiture-related charges in the first quarter. The effective tax rate in Q3 and Q4 is expected to be between 25% and 26%. Finally, on a full-year basis, the weighted average shares are expected to be about 58 million shares. I'll conclude by recognizing that two consecutive quarters of overperformance are a testament to our operation team's focus and commitment to successful delivery of essential programs on behalf of government, and enabled by a portfolio of performance-based contracts that align us with our customers to demonstrate efficient spend. And with that, we will open the line for Q&A. Operator?
Operator: Thank you. And at this time, we'll conduct a Q&A session.
Charlie Strauzer: And our first question comes from Charlie Strauzer with CJS Securities. Please state your question. Hi, good morning.
Bruce L. Caswell: Good morning, Charlie.
David Mutryn: How are you?
Charlie Strauzer: Question for David, I guess, I just wanted to obviously, very strong quarter. It looks like the raise is basically encompassing the amount of the beat in the quarter, kind of leaving the back half of the year largely unchanged. How should we think about that and also the weighting between Q3 and Q4?
Bruce L. Caswell: And looking at the segments too, how should we think about that as well?
Charlie Strauzer: Sure. Thanks, Charlie. As I said in our prepared remarks, our intent with the guidance range was to reflect the Q2 overperformance, as you said, and then effectively maintain guidance for Q3 and Q4. So that does result in a natural step down from the exceptional Q2 performance. As always, we assess the risks and the opportunities as we see them today and as you can imagine, the range of outcomes is a bit wider than typical for us at this point of the year. And our intent with guidance is to provide a range that we have a high probability of delivering. So said differently, in a normal environment, we may have raised the guidance a bit more, but in this environment of both risk and opportunities, we felt it prudent to hold the remainder of the year guidance. So just a few more points I'll make to be clear about what our guidance assumes. First, a natural step down from Q2 to Q3 that we do have visibility into, and that would be some moderation to clinical volumes, as I said in my prepared remarks. Also, less seasonal work, such as disaster response support that we provide to FEMA, and in some cases, ramping up of costs on certain contracts. Second, a reminder that we have no reliance on new work contributing to the fiscal year, which we had also derisked in our prior guidance. And that's despite our continued optimism on the new business front, which includes, of course, opportunities that may arise from emerging customer priorities. And then last, by holding it flat, we've also allowed for some level of uncertainty to be accommodated. Related to headwinds that we don't have visibility to, may potentially arise from the macro environment. So we're deliberately taking a cautious approach that can accommodate some downside by design. And then as it relates to the quarterly profile, I'd say nothing major between Q3 and Q4 to call out. So at this point, I think they could look somewhat similar.
Charlie Strauzer: Great. Thank you. And maybe for Bruce on this one. You look at the strength in the margin performance in the quarter, it was pretty exceptional. Can you perhaps provide a little bit more color on that front in terms of that, you could maybe highlight for us, drivers behind?
Bruce L. Caswell: Sure. Sure, Charlie. Yes. In our business, volumes matter, we've always said, and we had a great quarter in a number of program areas as it relates to just the volume of work that we are able to get through. Part of that is just that the customers were asking us to take on more work, and we were happy to rise to that challenge and use the scale of the business to do that. But as I noted in my prepared remarks, there's also a very clear connection here to the investments that we've been making in technology. And we kind of talk about this all the time that we bring together people, process, and technology to solve these large programmatic challenges that our customers face. And I was really pleased with some of the automation we've been able to drive into the business that has reduced kind of manual work and so forth and has enabled us to scale the business up, redirect our staff to higher value functions. I mentioned in my comments about shifting staff from doing case preparation to actually doing quality assurance, a much more valuable role within the team, and ultimately be able to increase productivity and take on greater volumes. So you know, it's a great early indicator that the investments that we've been focused on in terms of robotic process automation initially, but then into machine learning and now artificial intelligence are really starting to pay off. And that's all been done under the broader umbrella of the Maximus Forward transformation project that we, you know, undertook, what, eighteen months or two years ago, but have really kept going with the proper transformation office and a pipeline of opportunities. So I'm really pleased with the cadence that we're moving things through from idea or concept to implementation. And I will still say that there's even further opportunity to then bring some of those pilot areas or concepts to scale. So let me turn it over to David for any additional remarks.
David Mutryn: You answered that well, Bruce. Maybe the only thing I would add just reiterating from my prior answer, that we do see visibility to some moderation for the reasons I mentioned from Q2 to Q3.
Charlie Strauzer: Hope that helps, Charlie.
Bruce L. Caswell: Thank you for that. Definitely. Thank you. Thank you for that.
Charlie Strauzer: Looking at your commentary about the pricing concessions, etcetera, obviously, there's more scrutiny from the federal government on their vendors and contracts. Are you seeing any potential delays in the potentially new work coming into the pipeline? Also, contrary to that, are you seeing new opportunities that you hadn't seen before flowing into the pipeline?
Bruce L. Caswell: Sure. So commenting on the pipeline, I mentioned in my prepared remarks that we're pleased with the overall pipeline volume, which is great. And another key metric that we offered this quarter, which I thought was a nice improvement over what we've talked about previously, was the progression of proposals in preparation and awaiting decisions, which we said is up 25% prior quarter. So things are moving. There has been some slowdown, however, and reduction even in the pipeline in the civilian agency space. To double click on that, what's behind that, we think, two things. One, just the ongoing kind of work of the administration as they go through the agencies and their programs and their contracts and so forth. But, also, there's a broader effort by the administration and intent to reduce the use of agency-specific indefinite quantity, indefinite delivery. Actually, I just flipped the two around, indefinite delivery, indefinite quantity, IDIQ contracts, or basic ordering agreement or type BOA type contracts. And consolidate those to the GSA level. I think all of industry is waiting to see the path that that will take going forward. But as a consequence, you know, as we also said, work needs to be done. And so this has led to contract bridges and extensions that benefit incumbents, including Maximus, and I mentioned an example of that in my remarks. I would also note regarding the pipeline that we've reviewed the president's proposed budget and if that's any indicator ultimately of what will come out of the congressional budgetary process, hard to say. We don't see any significant impact on the programs that we administer across our current civilian portfolio of contracts. So then opportunities, you asked. We have our teams out there shifting left and shaping opportunities every day. And I mentioned this earlier in the call, and I really feel like we are in a very good position to be an effective and valued partner in the process to government. Some synergy pipe opportunities, as we call them, are now coming to market that we had our eyes on several years ago when we first combined with Veterans Evaluation Services. I mentioned that, you know, either company alone could never have bid on or won those contracts, but we talk about having the right to win when we feel that we've got the right to win now as these are coming to market. So we're excited about them. I'd also note that some opportunities in terms of shaping and the shifting left and so forth, don't necessarily lead or don't necessarily correspond to planned procurement that you've got, you know, years of visibility to. And by that, I mean, the discussions and conversations that we can have with our customers about ways to bring greater efficiencies and innovation to program areas that we presently administer. That could lead to things like consolidation and streamlining and reengineering and simplification of technology that's being used and all types of opportunities that we could step into in the existing contracts that we have or through alternate procurement methods that would be developed and then brought out. I'm not saying it's as kind of quick a turn as we saw during the pandemic when much of our growth came from opportunities that never really worked their way through the pipeline. They were volume-related, and they were kind of expansions on existing programs. But there is a certain component of that because things are moving quickly and opportunities for modernization and further growth in some of these contracts are a bit organic at this time.
Charlie Strauzer: So hope that helps.
Bruce L. Caswell: Great. Thanks. That's very helpful, Bruce. Looking now at the Outside The U.S. Segment, I think this is the second quarter in a row of organic growth. Obviously, the restructuring there is, you know, showing highlighting, you know, some good things there. And just if you could maybe provide some additional color as to, you know, some of the drivers behind the pickup in organic growth there.
David Mutryn: Sure. Happy to. We're pleased with the outcome of the restructuring that has taken place over the past couple of years now. And at this point, our operations are now only in The United Kingdom, Canada, and the Gulf Region. And of these, The UK business is the largest, where we are really a well-established provider to government across multiple programs. One of our largest programs there is also what is driving the growth this quarter, and that's the functional assessment services contract, which is a recompete of our prior HAS contract. And as you recall from, you know, about a year ago when we announced that, and then that went live in the fall. So now we are operating under the new contract, a different structure than the old, and as we said, it provides a modest step up in revenue compared to the predecessor contract. So that's really the single most important driver of that healthy growth. And as I said in my prepared remarks, of course, our goal is to continue to improve margins in this segment as well.
Charlie Strauzer: Great. Thank you. That's all I have for you today. Thank you.
Operator: Thank you. And with that, we conclude today's conference. You may disconnect your lines at this time. Thank you all for your participation.